Operator: Good morning, ladies and gentlemen. At this time, we would like to welcome everyone to CSN second quarter 2010 earnings conference call. Today, we have with us the company's Executive Officers. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the company's presentation. After the company's remarks are over, there will be a question-and-answer section. (Operator Instructions) We have simultaneous webcast that may be accessed through CSN's Investor Relations website at www.csn.com.br/ir. The slide presentation may be downloaded from this website. Please feel free to flip through the slides during the conference call. There will be a replay service for this call on the website. Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of CSN management and on information currently available to the company. They involve risks, uncertainties, and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur. Investors should understand that general economic conditions, industry conditions, and other operating factors could also affect the future results of CSN and could cause results to differ materially from those expressed in such forward-looking statements. Now, I'll turn the conference over to Mr. Paulo Penido Pinto Marques, who will present on CSN's operating and financial highlights for the period. Mr. Penido, you may begin your conference.
Paulo Penido Pinto Marques: Good morning and good afternoon, depending on where you are. We would like to make a brief introduction to our conference call. We have a presentation, a 12-page presentation. I will start on page three, please, where we present the highlights of our performance in the quarter. Summarizing all these points, we would like to say that our EBITDA margin came back to our traditional level of above 45%; we had 46% in the second quarter of the year. Our net revenue went up 22% comparing to the first quarter of the year, basically due to price and volume increase in our mining activity and also to price and volume increase in our steel – domestic steel sales and some export sales of steel. We remain quite optimistic for the rest of the year and we are also investing – or we have invested 1.5 billion reais in the first half of the year. Providing some more details on our steel performance on page four, you can clearly see the higher volume, jumping from 1.26 million tons in the first quarter to 1.3 million tons in the second quarter. We can see the revenues increased as a result of the price adjustment that was made in the second half of the year. And we are preserving our high value-added mix of profits. Now on page five, we can see the higher volume – record volumes in terms of products and a jump, net revenues coming from the mining activity as a result of the international price for iron ore that went up in a meaningful way comparing the first and second quarters of the year. On a consolidated basis, you can see on page six, our net revenues reached 3.8 billion reais in the second quarter of the year. Approximately 20% of the – sorry, approximately 1 billion reais in terms of exports and sales abroad and 2.86 billion reais of sales – domestic sales. Our – as we can see in this pie chart, 70% of our revenues in the second quarter came from steel and 22% from mining activity. So our core business at this point in time is 92% in terms of mining and steel activities. On page seven, we can see the clear and very fast recovery of CSN. We took worst quarter ever, that was first quarter of '09 where we were fully impacted by the international price and how we could – on a very fast way of how – come back to the 40%, 46% level of EBITDA margin. Explaining the EBITDA evolution from the first quarter of 2010 to the second quarter of 2010, on page eight, we can clearly see, as I said, that the steel revenues and the mining revenues are basically responsible for the increase in the EBITDA. On page nine, we present our debt situation. We preserved the net debt-to-EBITDA ratio at 1.56 times comparing the first quarter of '10 to the second quarter of the year. And understanding this leverage ratio on page 10, we can clearly see that the size of the net debt went up from 6.6 billion reais to 8.3 billion reais as a result of the investments, the capital expenditures that we did and the interest on capital that we have paid in the first half of the year. They were the major, I would say, cash outflows from the company. And at the end of the day, they responded for this increasing debt. On page 11, you all know, the performance of the shares. We have preserved, I would say, a positive performance when comparing to the stock exchange, mostly Brazil and abroad. And that's the introduction that I was looking for this conference call today. We are now open for the Q&A session. Thank you.
Operator: (Operator Instructions) Your first question comes from the line of Leonardo Correa with Barclays Capital.
Leonardo Correa – Barclays Capital: Hi, good afternoon. Thank you for the opportunity. My first question is for Jamie [ph]. Regarding basically the 2011 annual shipments or guidance that you have now – basically, this is really a follow-up from the conference call in Portuguese. You advised downward slightly the guidance for 2010 now at 27 million, 28 million tons. So just to get your views on the latest updates for 2011 on the guidance of shipments. That's my first question. Second question, Jamie, also for you, regarding the port expansion, if you can give us an update on how the project is evolving, basically the main challenges that you are facing to deliver and also now the expected timelines of full port capacity going forward. So those are both of my questions. Thank you very much.
Unidentified Company Speaker: Hi, Leonardo. Thank you for the question. Even considering the delays that we are facing in this 2010 year, we are keeping our guidance for 2011. Why we are keeping our guidance? Because as you – that's related to your second question. We are – have contracted all the expansions up to 6 million tons per year capacity at the port. Then we – okay, and the way to deliver that capacity, you cannot see this in our investment expenditure, because the size of the amounts for the 45 million tons per year capacity is a very small investment to reach that capacity. We are finalizing that expansion. And for the 60 million, we are at – had all the construction, all the equipment for the expansion, it will come as predicted. And our guidance for 2011 and 2012 are the same that we presented before. And this year we faced a lot of problems. We are in the process of changing one of the contracts in the maintenance of the port. We are in fact in-sourcing our maintenance. And the result in the performance of the port was impacted by heavy rains that we faced and also some problems during the operation. But that should not affect our expansion, our forecast. And at the mine site, we are finalizing the expansion for 40 million this year. And also, we are making the – all the preparations for the second phase of the expansion. We are doing all the land work. We are preparing for the constructions of the second phase of the expansion. That's why also at the mine because we are in the process of a startup of the 40 million and we did this small investment in land works, earth movement. That's why you cannot see and track a very huge investment, the CapEx. But the plans are as forecasted and we will deliver the expansion as forecasted for the next year. Thank you for your question, Leonardo.
Leonardo Correa – Barclays Capital: Thank you, Jamie. Just to confirm then, so for 2011, the guidance is around 40 million tons, considering 100% of Namisa. Is that correct?
Unidentified Company Speaker: That's correct. Considering 100% Namisa.
Leonardo Correa – Barclays Capital: Okay. And just to follow up, Jamie, please, the port capacity expansion of – to 45 million tons, will that still be achieved in the first – in the second semester of this year or has that been postponed to the first semester of 2011?
Unidentified Company Speaker: It will be achieved in the second semester of this year. In fact, we are predicting in July this year. But we will be reaching it at the end of this year, may be October. That's our update on that expansion now. But it's – it will be delivered as predicted in 2011, the full capacity.
Leonardo Correa – Barclays Capital: Thank you, Jamie.
Unidentified Company Speaker: Thank you, Leonardo.
Operator: The next question comes from the line of Carlos de Alba with Morgan Stanley.
Carlos de Alba – Morgan Stanley: Yes, good morning. Thank you very much. I would like to understand a bit better how much of your iron ore business is done at export prices and how much is under the new benchmark system of quarterly revisions? Because I think when you look – when we look at the numbers, the average price in spite a 44% increase quarter-on-quarter that we calculated, is still a little bit below what we saw in the benchmark prices. That would be one question. And the second question would be, if you can talk a little bit about the margin that you are seeing in your different businesses, the mining business, the steel business, and the infrastructure business if we looked at them separately? Thank you.
Unidentified Company Speaker: Carlos, thank you for the question. This is (inaudible) speaking. Carlos, we – okay, we have our sales, okay, very much based on long-term contracts, okay, and selected clients, okay, first-class clients. So most of our sales have been done on quarterly prices. And if – okay, the smaller amounts that we are having on export prices are, let's say, maybe some low-quality material, okay, that we have to place one shipment here, another there. But most of our sales now is being carried out under contracts and quarterly prices.
Carlos de Alba – Morgan Stanley: Okay. Thank you. And could you comment about the margin in the iron ore business standalone and then also what you are making in the steel and iron ore – maybe the – sorry, steel and infrastructure? And maybe this is a question for Paulo or Ricardo [ph].
Paulo Penido Pinto Marques: Oh, yes. I can, Carlos. No problem. Just to give you a sense, in the second quarter of 2010, our steel business had a margin of 45%. Remembering that we buy iron ore at costs, because we – up to now, Casa de Pedra is consolidated in CSN. Our mining business had a margin of 65%; our logistics business had a margin of 36%; our energy business had a margin of 61%. So all in all, our EBITDA margin was 46% doing a weighted average cost considering all this.
Unidentified Company Speaker: Carlos, this is Jamie speaking. Just a comment on top of Paulo was speaking that our margin in mining is a consolidated margin. Of course, our margin at certain business is higher than Namisa, okay, just –
Paulo Penido Pinto Marques: Oh, yes. In the mining business, we know that Namisa margins are a little bit below Casa de Pedra margin. We all know that different mines – Namisa has four sites, CSN has just one. There is more synergies than in Namisa business (inaudible). But it's normal. At the end of the day, our margins are in this range.
Carlos de Alba – Morgan Stanley: Thank you, Paulo. Thank you, Jamie. Thank you. I mean, just a final question, Paulo, maybe on the tax rate. It is starting to increase, but it's still around 19%, the effective tax rate that we saw in the quarter, way below what we have seen in prior years. What should we look forward in the next – in the upcoming quarters and maybe into 2011? Do you expect the tax rate to normalize?
Paulo Penido Pinto Marques: Okay. Our Controller Osorio [ph] is here. So he can talk a little bit about our margin.
Unidentified Company Speaker: You are talking about ETR, effective tax rate, is that correct?
Carlos de Alba – Morgan Stanley: Yes, that's correct.
Unidentified Company Speaker: Actually comparing two quarter with the first quarter, we had very low ETR in the first quarter, considering the gain we had in the REFIS, the program mentioned in the first quarter. But in the second quarter, the ETR should be below it, around 16%.
Paulo Penido Pinto Marques: So in other words, we had a benefit of the REFIS program, which is this refinancing of tax problem that was available from the Brazilian government. And it may not repeat this year. So – one-time event, yes.
Carlos de Alba – Morgan Stanley: Okay. So you see probably – the effective tax rate climbing close to 30% or so.
Unidentified Company Speaker: Yes. We expect to have around 15%, 20%.
Carlos de Alba – Morgan Stanley: 15%, 20%? Thank you very much.
Operator: Your next question comes from the line of Rene Kleyweg with UBS.
Rene Kleyweg – UBS: Good afternoon, gentlemen. A couple of things. One, could you talk a little bit more about the state government import incentives that you referred to in the press release? And I understand – also a little bit more on Transnordestina, where we have seen a significant pickup in investments, maybe provide a little bit more guidance or an update on your expectations in terms of revenue generation expectations there medium term and margin potential out of Transnordestina?
Unidentified Company Speaker: Okay. Martinez is our Commercial Director. He can talk a little bit about the incentives.
Luis Martinez: Rene, regarding to the imports here in Brazil, obviously – we were talking during this morning. We have – in the case of CSN, we are facing a lot of – I could say a lot of – a kind of ramping in the coated products. If you take into account hot deep galvanized, galvalume, coil-coated, and tin plates, we are suffering from a lot from this type of pressure in Brazil. But on the other hand, just to add to this point, we have also some state incentives, mainly in some ports. And according to our negotiations with some federal institutions, we are trying to understand and what we could do to trying to fight against this type of incentive, because it's very dangerous for our industry, it's very, very dangerous for our market. And no matter if the price is going up and down, they have more than 9% just for this incentive. So we – obviously, we are going to try to fight against this type of incentives. I don't know if it's – if exactly your question is related to this incentive or import tariff.
Rene Kleyweg – UBS: It was directed at the reference in the press release about the state incentives. So I guess you are talking about the port incentives. Does that relate to the – the import tax is a federal tax, right? So we are – are we talking about the port taxation, plus subsidies on ports and port handling costs or what are we talking about?
Luis Martinez: Just to give you some example, if you take into account no incentives in the Brazilian ports, we are working the hot band – hot rolled coil in Brazil with a premium over imported, nationalized, something like 23%, 24%, even 25% over the imported landed [ph] in Brazil. Some states in Brazil – in addition, this is a federal – obviously, we have import tax of federal import – import tax. In the case of the states, in addition to this difference, we have more 9% or 10% regarding to a state incentive in the – in each year. So this is the problem. And we are trying to face this problem, trying to understand what we can do to avoid this type of competition here in Brazil. I don't think it's fair. And also, we have – also take into account that in the case of coated products, we have some kind of dumping products in Brazil. But we are studying this – these prices and we are trying to understand better this type of situation right now.
Unidentified Company Speaker: Okay. Rene, I understand you also want to know a little bit about Transnordestina, right?
Rene Kleyweg – UBS: Yes, please. Thank you.
Unidentified Company Speaker: Yes, Transnordestina is planned to be a 50 million ton transportation company when it will be operating at full capacity. We expect that the first major part of the railroad to be read – to be completed, the execution or the construction by the end of 2012. So this number may – there will be a hump-up. So best case scenario, this 30 million tons, maybe being transported in 2013. Considering expected cost of transportation, it may be a $1 billion company in terms of net sales in 2013 or maybe 2014. If I may give you a very brief update on what's going on in Transnordestina, it is a 5.4 billion reais investment, where we have already contracted 3.5 billion reais in terms of contractors and equipment being bought and all this, so more than half is contracted. In other words, out of the 1,728 kilometers, 1,150 is being constructed right now, we have approximately 8,000 people working there. It's a major, I'll say, work that is being developed in the northeast of Brazil. And just to add a final comment, the cost per kilometer is around 3 million reais, which is one of the lowest in the world at this moment for this type of construction. So it's – it will be a $1 billion company in terms of net sales for two years from now. At this point in time, we are building.
Rene Kleyweg – UBS: And then just to clarify, if I may, on the 10 million reais per kilometer. Is it mostly upgrade, or is it basically effectively replacing the entire network with new lines, just – there is no clearing work?
Unidentified Company Speaker: We are building brand new railroad, world-class railroad. That's the cost; it's 3 million reais per kilometer.
Rene Kleyweg – UBS: Thank you.
Operator: Next question comes from the line of Alex Hacking with Citigroup.
Alex Hacking – Citigroup: Good morning, everyone. Thanks for taking the call. Just to follow up on Carlos' question earlier, just to clarify that the EBITDA margin in steel was 45% and in mining was 65%. Did I hear that correct?
Unidentified Company Speaker: That's right.
Alex Hacking – Citigroup: Okay.
Unidentified Company Speaker: That's right.
Alex Hacking – Citigroup: Okay. How – I guess the question is how does that come to an average of 46%? It would seem like CSN weighted average would be higher than 46%, if steel is the lowest at 45%.
Unidentified Company Speaker: We have to take into consideration all the corporate costs, I would say the costs that we have, management in terms of – and also the cement business that we are starting up right now. Our EBITDA margin in the cement business is still 6%, very low, and it's natural because it's starting. This is a business that will have an EBIDTA margin ranging from 30% to 35% in the future. But as we are starting right now, it's still low. And that's it, that's a precise number. At the end of the day, to round up all the activities of the company, we have this EBITDA margin of 46% on a consolidated basis.
Alex Hacking – Citigroup: Thanks. Thanks very much for the explanation. The second question would be on the outlook for the steel price. In the third quarter, you will obviously benefit a little bit from price increases implemented during the second quarter. Are you planning any further increase in the third quarter? Thanks.
Paulo Penido Pinto Marques: We don't think so. We – in the third quarter, we will have the residual impact of the price adjustments that were made in the second quarter of the year. As you know, there were price adjustments ranging from 10% to 12% in the second quarter. If you compare the average price increase from the first and second quarter, there was an increase below 10%. So there is some – still some impact that we will be seeing in the third quarter. But considering the market, we are not planning further increase in price in the domestic market for the third quarter.
Alex Hacking – Citigroup: Great. Thanks, Paulo.
Paulo Penido Pinto Marques: Thank you.
Operator: Next question comes from the line of Marcos Assumpcao with Itau.
Marcos Assumpcao – Itau: Hi, good morning, everybody. Congratulations on the results. My first question is regarding Namisa sales volumes for 2010. Can you guys provide a guidance for what – what is the target volume for Namisa for 2010 and also for 2011?
Paulo Penido Pinto Marques: Okay. Namisa for 2010, the expected volumes will range 18 million to 19 million tons. That's where we plan to be terms of full sales of Namisa. And it is our plan to keep on growing Namisa a little bit for the following year, but not very much – for 2011 (inaudible) – maybe around 19 million, 20 million tons. It's too early to say.
Marcos Assumpcao – Itau: Okay. But, Paulo, is there any target between – or target or contract between the Japanese consortium and CSN related to these iron ore volumes for 2010 and '11?
Paulo Penido Pinto Marques: No. The – our shareholders, they came to us, we have a business plan that we are respecting. This business plan includes a number of CapEx or capital expenditures and a number of efforts to buy iron ore from third parties and to resell it and also to do the process. So we are working as close as possible to the business plan in order to deliver what was actually agreed. But they know – as we know that when you have (inaudible) in a company, there are risks, commercial risks and market risks, things like that. In addition, they have a sales agreement. So we have some sales that we plan to do, but they are below this level of sales that are coming in.
Marcos Assumpcao – Itau: Okay, Paulo. And on the investments and the CapEx of Namisa, where can we find them in the breakdown that you provide every quarter in your press release?
Paulo Penido Pinto Marques: Good question. Where can I find Namisa in the breakdown?
Unidentified Company Speaker: Hi, Marcos. This is David [ph]. I need to give you an idea every quarter, when you are reading our results, we include what we are selling in CSN and what we are selling in Namisa. That means that we have all the ways to have all the correct calculation on these. And we maintain clearly the results of both companies.
Marcos Assumpcao – Itau: Okay. Just one follow-up question on the EBITDA margin per business. On the margin of steel of around 25% is considering what kind of purchase of iron ore, at market prices from CSN or at cost?
Unidentified Company Speaker: At cost.
Marcos Assumpcao – Itau: Okay. So EBITDA margin – the EBITDA margin on the iron ore business should be even higher if it was to be marked by market prices, right?
Unidentified Company Speaker: Making a back-of-the-envelope calculation, EBITDA margin would be 40% for the steel business and 70%, just back-of-the-envelope very brief calculation if we transfer this, I would say, margin from one side to the other side of the business, maybe a little bit in excess of 40 – 70% for mining and around 40 – a little bit below 40% for the steel business.
Marcos Assumpcao – Itau: Okay. Thank you very much.
Unidentified Company Speaker: Thank you, Marcos.
Operator: (Operator Instructions) Your next question comes from the line of Rodrigo Barros with Deutsche Bank.
Rodrigo Barros – Deutsche Bank: Good morning, gentlemen. I have just one question. Regarding the CapEx for mining that – it's on CSN's conference presentation, it's roughly 1.4 billion reais over a seven-year period from 2010 to 2016. That would imply an average spending of roughly 400 million reais per quarter. I wonder if you could hint us when we are going to see a speedup in the CapEx in the mining segment to fulfill that guidance that's on the conference presentation. Thank you.
Paulo Penido Pinto Marques: Okay. I ask Martinez to answer this question. And then I will ask Jamie to add some more thoughts or comments on it. It is our plan to spend 700 million reais in mining this year in terms of CapEx. And you may ask, it's below expected. But it's not. (inaudible) can explain it for you, please.
Unidentified Company Speaker: Hi, Rodrigo. As you know, we are maturing our investment in the 40 million tons of Casa de Pedra and also the expansion of 45 million at Itaguai Port. And the expenses for these expansions, they are maturing. We are at the end of the process. And there is very low expenditure on these investments. And for the next phase, we – our – hired the expansion for 60 million tons per year at the port. And we will see this increase in the expenditures of investments of mining for the next quarter, beginning of next year and also the expansions of Namisa and the expansion of the next phase of Casa de Pedra in the next year, because at the Casa de Pedra and Namisa now, we are in the beginning of the earthmoving – earthworks for the second quarter to be the civil constructions and all the acquisitions of the equipments. Then the expansion, we will deliver as forecast, and that's why you are not seeing so much investment in mining at this moment. But be sure that we are underway to reach what was forecast. Thank you.
Rodrigo Barros – Deutsche Bank: That's good news. Thank you very much.
Operator: Next question comes from the line of Marcelo Aguiar with Goldman Sachs.
Marcelo Aguiar – Goldman Sachs: Hi, Paulo. A follow-up on Transnordestina – and can you remind us what – how you are going to do the – I mean, finance this CapEx in terms of the realization equity [ph]. So I couldn't bet between you and BNDES on which is the stake of each of you development?
Paulo Penido Pinto Marques: Okay. In terms of the 5.4 billion reais plan that we have for Transnordestina is divided in 1.3 billion reais of capital coming from CSN, 730 – 165 million reais from Valec [ph] and 823 million reais from FINOR. So 40% of the total will be capital. At the end of the day, making all the adjustments, CSN will end up with 75% of capital and the government with 25% of the capital. In terms of financing, your question, it's 40% capital, 60% financing. We have three sources of financing, BNDES and the FDNE, which is the development fund for the northeast of Brazil and the FNE. All together, the major source will be this fund for development of the northeast. These, I would say, financings is coming from the government (inaudible) as expected. We are having this financing and we are funding the company with the financing from the federal government and our capital. And repeating, we are talking about 1.3 billion reais of capital being injected by CSN over the period of time of three, three-and-a-half years, which is quite comfortable for us.
Marcelo Aguiar – Goldman Sachs: Okay. Okay. Fair enough. On – getting back to the other CapEx, do you have any figure, I mean, to tell us for 2011 already?
Paulo Penido Pinto Marques: For CapEx in (inaudible)?
Marcelo Aguiar – Goldman Sachs: Sorry, for the whole company, consolidated company, just if you can tell about the business.
Paulo Penido Pinto Marques: For this year, the figure is 3 billion reais to 3.5 billion reais. For next year, it will be around 3.5 billion reais to 4 billion reais. That's what's in our budget for next year.
Marcelo Aguiar – Goldman Sachs: Okay, fair enough. Thank you. Thank you, Paulo.
Paulo Penido Pinto Marques: Thanks.
Operator: Your next question comes from the line of Carlos de Alba with Morgan Stanley.
Carlos de Alba – Morgan Stanley: Yes, thank you very much. Just one – I have a follow-up question. The Brazilian economy has certainly been quite strong year to date. But in the last few months or weeks, we have seen a slight drop in retail sales. Consumer confidence has come down, as well as industrial production has slowed down. So I wonder if you have seen any negative evolution in your order book, if your clients are buying a little bit less for the second half of the year than they did for the first half. Any comments on that would be appreciated. Thank you.
Luis Martinez: Hello, Carlos. Good morning. This is Martinez speaking. Regarding to market, Carlos, being very straight to the point, we are forecasting to have a growth in the whole market, the flat steel market, around 25% to 30%. If you take into account the first half of the year, we are around 3.9 in the second quarter and 2.3 or 2.4 in the first quarter. So we are not forecasting to have any bad market in the second quarter, because obviously we are facing some problems in the case of distribution markets. They bought a lot of inventory – they bought a lot of steel from imported. And we are going to face some realignment in the inventories during August and September. But in the case of CSN, we have to take into account that we have another very strong market in Brazil, like building products and tin plate markets. So building products and also building construction in Brazil is growing in a range of 10% to 12% a year. And we are going to capture obviously all this growth in Brazil. In the case of tin plate, for example, we are going to have a very good second half of the year. And for other markets, like auto industry for example, (inaudible) still keeping the same forecast, around 3.4 million cars in a year. Another very important market for CSN is home appliances and white goods. Obviously, they are suffering a little bit in June and July due to the seasonal year. But now we are in a ramp-up basis right now. From now to the end of this year, we are going to experience some other growth in the markets. Our challenge, Carlos, instead of selling – in the case of CSN, our major target here instead of selling steel, Carlos, in metric tons, our major challenge is to sell solutions or engineered parts in pounds or in even in footage or meters. So in the case of building products market for example, take into account that we are going to have not only flat products but roofing, facades, rebar, (inaudible). We would like to develop a kind of distribution and a kind of channel in Brazil that allows customers to have a kind of one-stop shop. So this is the reason we would like to move this type of commercial standpoint. In the case of auto market for example, instead of growing in capacity, we are growing in services, in service centers in GalvaSud. And just to give you some numbers, we have more than – we are now working in the range of 3,000 metric tons of engineered parts. And we are going to move to 12,000 metric tons a month from October through the end of this year. So this is our strategy. We are not forecasting to have any major problem in the market in the second half. And we are very well prepared due to our strategy, not to put the eggs in the same basket. We would like to capture all the value in the market from now to the end of this year.
Carlos de Alba – Morgan Stanley: Thank you very much, Martinez. And my final question will be maybe for you, Paulo. The SG&A – sorry, G&A expenses in the quarter increased by 20 million reais. And this, according to the release, was due to the collective bargaining agreement that you reached in May. Is this a one-time expense or should we see this on a recurring basis going forward?
Paulo Penido Pinto Marques: Hold on – hold on just a second. I'm checking this with people here. I don't have this detail right now. Yes. We made a comment in our press release regarding this SG&A movement. We have a salary adjustment for our employees and we are intensifying our CapEx program. And as a result, we are using a little bit more external sales providers. I would say that to be conservative, this – the current level of SG&A may be kept for the coming quarters.
Carlos de Alba – Morgan Stanley: All right. Thank you very much, Paulo.
Paulo Penido Pinto Marques: Okay. I have a question here before we go to the next question from the webcast. It's from Mr. Eric Olen [ph]. And he's asking about – his question is very – I will read it. Given to the continued strong results, as well as the restraint shown on the investment problem and any M&A project over the last few years, why does Moody's and S&P continue to rate the company below investment-grade? What is in the, I would say, report – what are they looking for – just – maybe I got the wrong spelling or the wrong – So if you check all the CSN debt financing, CSN ratios and the size of CSN and the importance of CSN in the domestic market in Brazil and in the international mining, iron ore mining market, CSN is clearly an investment-grade company. However, the rating agencies have been cautious to upgrade us, expecting to see our movements in the M&A area, to see the impact of these. That's my reading of their report. I recommend to read the report. If there is any difficulty in getting them, Moody's and S&P reporting, we can show you or we can send it, no problem. There is a complement on his question. He also asks about if there are any plans to call the $750 million perpetual notes. And our answer is that we are currently analyzing the option to exercise this co-option. It's available on a quarterly basis. And I have no decision to announce right now. But it's something that we are clearly announcing – sorry, considering right now. Thank you.
Operator: Next question comes from the line of Christopher Buck with Barclays Capital.
Christopher Buck – Barclays Capital: Hi, thank you. I'm wondering if you can discuss the international expansion plans a little bit more. I know that they were discussed on the Portuguese call. But can you give us an update in terms of how you are thinking about those plans at this point? Thank you.
Paulo Penido Pinto Marques: You have to – you have asked – the connection was not very clear – about our international movements. Is it right?
Christopher Buck – Barclays Capital: Yes, exactly. What your plans are for international expansion moving forward and how you are approaching that process at this point.
Paulo Penido Pinto Marques: Okay. We do have a plan to more international presence. That was clearly announced in the past. We – as everybody knows, most – almost all our operations is located in Brazil. We have some minor operation in Europe and in the U.S. and we want to expand it. The focus, as announced by our Chairman, is to have some presence in Europe and some more presence in the U.S.; in the western part of Europe and the eastern part of the U.S., that's the preference that can be – it's not mandatory. If there is an opportunity – good opportunity in other areas, we can consider it. So the company is considering to buy participations or to buy the control of companies in our core business areas, mostly in the steel-making area and in cement-making area, because we know that that mine – the good mines for iron ore are located in Brazil. So CSN may have – or may or may not have depending on the opportunity and we are highly disciplined in analyzing the return and the cost of any M&A movement in Europe, mostly in Europe, and in the U.S. and it may happen, let's say, in a short period of time. But at this point in time, we do have – we cannot announce anything because we don't have any process, any major process being conducted right now.
Christopher Buck – Barclays Capital: I'm sorry. Just to confirm, you do have some – something under discussion at the moment or you do not?
Paulo Penido Pinto Marques: We do not have. We are constantly analyzing things. But we do not any – anything to announce right now.
Christopher Buck – Barclays Capital: Okay. And then if you can also just give a – an update in terms of the possible sale of part of the iron ore unit and possible IPO and any update on the timeline in terms of when there may be additional developments there?
Paulo Penido Pinto Marques: Yes. We took the decision to negotiate with our minority shareholders of Namisa, a measure between our mine Casa de Pedra and Namisa. This process is going very well. We are in the middle of the negotiation process, it takes time. So I can't be precise now on when we may do this IPO of Casa de Pedra. It can happen in the next 12 months or in the next six months, depending on the – on this negotiation. We have seven Asian shareholders in Namisa. And we do have to respect their, I would say, timing, their processes, and the legal environment in each country. So it takes some time, but I can tell you that we are optimistic about the negotiations. It's going to be a win-win situation; better for them, better for us, and better for all shareholders at the end of the day.
Christopher Buck – Barclays Capital: Okay, great. And finally, you touched on the possibility of refinancing the perpetual notes. Any other comments? You did issue a bond earlier in the third quarter. And I'm just wondering if you have any other comments about possible usage of cash and/or financing plans that you may have.
Paulo Penido Pinto Marques: In terms of financing plans, we are done for the year, and basically done for next year. Of course, there are some normal disbursements from BNDES on our activities in front, you know, official banks for our – disbursing for our CapEx programs. But I would say that the big deals, we are done for this year. So we have no other plan of doing a major deal in the short term.
Christopher Buck – Barclays Capital: Great. Thank you very much.
Paulo Penido Pinto Marques: Thank you.
Operator: I'll turn the call over to Mr. Paulo Penido for closing remarks. Mr. Penido, please go ahead.
Paulo Penido Pinto Marques: Okay. I would like to thank you all for participating in this call and to remember that our Investor Relations team is available for any further questions. Thank you.
Operator: – CSN second quarter 2010 earnings conference call. You may disconnect your lines at this time.